Operator: Good morning, and welcome to the La-Z-Boy Fiscal 2025 Third Quarter Conference Call. At this time, all participants are in a listen-only mode. Please note this conference is being recorded. I will now turn the conference over to your host, Mark Becks, Director of Investor Relations and Corporate Development. Mark, the floor is yours. Thank you, Jenny.
Mark Becks: Good morning, everyone, and thanks for joining us to discuss our fiscal 2025 third quarter. With us today are Melinda Whittington, La-Z-Boy Incorporated Board Chair, President, and Chief Executive Officer, Taylor Luebke, La-Z-Boy's SVP and CFO, and Bob Lucian, La-Z-Boy's retiring CFO. Melinda will open and close the call, and Taylor will speak to segment performance and the financials midway through. We will then open the call to questions. Slides will accompany this presentation; you may view them through our webcast link, which will be available for one year. A telephone replay of the call will be available for one week beginning this afternoon. Before we begin the presentation, I would like to remind you that some statements made in today's call include forward-looking statements about La-Z-Boy's future performance and other matters. Although we believe these statements to be reasonable, our actual results could differ materially. The most significant risk factors that could affect our future results are described in our annual report on Form 10-K. We encourage you to review those risk factors as well as other key information detailed in our SEC filings. Also, our earnings release is available under the News and Events tab on the Investor Relations page of our website, and it includes reconciliations of certain non-GAAP measures, which are also included in an appendix at the end of our conference call slide deck. With that, I will now turn the call over to Melinda Whittington, Inc. Board Chair, President, and Chief Executive Officer. Melinda?
Melinda Whittington: Thank you, Mark, and good morning, everyone. Yesterday following the close of market, we reported results for our January-ended third quarter. Our results reflect the steady progress we've made to build a more agile business and create our own momentum to drive growth in what is still a very challenged furniture industry. We delivered sales growth across each of our segments, led by retail and punctuated by strong same-store sales growth. And within our wholesale segment, our core North American La-Z-Boy brand continues to post sales growth and margin expansion. Highlights for the quarter included consolidated delivered sales of $522 million, up 4% versus the prior year. Non-GAAP operating margin expansion up 20 basis points versus last year. GAAP and non-GAAP diluted EPS of $0.68. And within these total company results, our retail segment sales increased an impressive 11% led by same-store sales growth. Results were also buoyed by acquisitions and new stores as we continue progress against our Century Vision growth strategy. During the quarter, we opened three new company-owned La-Z-Boy Furniture Galleries, completed the acquisition of a two-store independent network in Ohio, and signed an agreement to acquire another two-store independent dealer in Michigan, which is expected to close in the fourth quarter. These strong results reflect delivered sales and non-GAAP operating margin above a year ago and at the high end of our guidance range. Additionally, we posted top-line sales growth for the third consecutive quarter despite the general malaise of the broader furniture industry. Our relentless focus on solving the needs of the consumer with comfort and quality, and controlling what we can control with strong execution, has kept La-Z-Boy top of mind. The environment in which we operate continues to be volatile. And the fundamentals within the furniture and home furnishings industry with existing home sales near thirty-year lows, and steep mortgage rates, however, these trends will eventually turn in the favor of our industry. And in the meanwhile, in spite of these industry headwinds, La-Z-Boy Incorporated is growing. Our vertically integrated model and custom handcrafted furniture with strong speed of delivery is what consumers are valuing. A highly dynamic environment. This foundation has led La-Z-Boy Incorporated to be successful for the past century and will continue to be the cornerstone of our philosophy for our Century Vision strategy over the next hundred years. Shifting to written sales trends, during the quarter, total written sales for our company-owned retail segment increased an impressive 15% versus last year's third quarter. And importantly, written same-store sales for the segment, which exclude the benefit of newly opened stores and acquired stores, increased 7% versus the prior year third quarter. Same-store sales were positive across each month of the third quarter and strongest in November around the key holiday sales period. Traffic, while still negative, improved from the double-digit declines experienced at the beginning of our fiscal year. We believe our marketing campaigns are resonating to expand the reach of the La-Z-Boy brand and superior in-store execution again led to higher conversion rates, average ticket, and design sales year over year. Written same-store sales for the entire La-Z-Boy Furniture Galleries network of 362 stores increased 5% versus the prior year. And on our Joybird business, written sales increased 10% in the quarter versus a year ago. We're pleased to see this business gaining momentum even in the challenged environment with improved retail traffic and strengthening execution across the business, particularly in-store. According to recently released US Census Bureau data, the furniture and home furnishing industry grew 5% during our fiscal third quarter, November through January. The furniture-specific subcategory reflecting only November and December, as it's reported on a one-month lag, increased 6%. Across our businesses, our written sales compare favorably to these industry results and reflect continued market share gains in the quarter. Looking to the longer term, I want to recap our Century Vision initiatives to strengthen our enterprise for the future. Recall, this is our strategic framework setting up La-Z-Boy Incorporated for the next hundred years. As we celebrate our first century in 2027. Driving top-line growth at a pace double the market, and delivering consistent double-digit operating margins over the long term. The continued growth in our business in the quarter is a testament that our Century Vision strategy is working. The furniture and home furnishings category is highly fragmented, and as one of the largest brands in North America, we are well-positioned to continue to strategically grow our business and gain share. We have consistently expanded La-Z-Boy's brand reach over the past several years and will continue to execute the strategy to disproportionately benefit when we do experience sustained industry tailwinds. A key pillar of our expanded brand reach is our total furniture galleries network, which ended the quarter at 362 stores. We remain on track to grow the total La-Z-Boy Furniture Galleries network to over 400 stores within the next several years, with nearly 20 net additions in the last two years alone. Additionally, we are expanding the company-owned portion of the network. Our retail segment has increased to 197 stores, up 13 in the last year, and now represents 54% of the total La-Z-Boy Furniture Galleries network. We opened three new company-owned stores in the quarter in Queen Creek, Arizona, Newington, New Hampshire, and Bellingham, Washington, and closed one. Furthermore, we acquired two independently owned stores in Ohio during the third quarter and signed an agreement to acquire two more in Michigan in the fourth quarter. Growing our company-owned furniture gallery stores is a key driver to our success. As we control the entire end-to-end consumer experience and develop more value-added consumer insights. These store acquisitions are immediately accretive to our profitability allowing the company to benefit from the integrated wholesale and retail margins. We're also growing the business through our refined channel strategy. The La-Z-Boy brand is showing up in more showrooms, as we are expanding strategic distribution while increasing our share of voice in the marketplace, to provide a broader range of consumers access to the La-Z-Boy brand. As our business scales, we continue to incorporate a more data-driven approach to product development. These deeper consumer insights enable us to design more on-trend merchandise. A great illustration of this is our expanded motion furniture offerings where we launched a new consumer-relevant assortment at High Point Furniture Market last fall. Our North American supply chain gives us the ability to produce a wide variety of customized fabric and leather options with speed to market in as little as four to six weeks. This will continue to provide a key point of differentiation and allows us to solve for the growing desire for personalization in consumers' homes. Another core pillar of Century Vision growth strategy paying. In just a short time since launching the campaign, we are expanding both consideration and purchase intent across a broader range including millennials and Gen X. This is achieved by targeting the confidently comfortable consumer and winning more business while also staying true to our heritage of comfort and quality. La-Z-Boy is becoming more socially relevant, and leaning into cultural trends when appropriate. And we continue to look for new and innovative ways to connect with brighter audiences. In November, we introduced a test and learn concept store in Lincoln Park in Chicago. This smaller format store was designed with an intent to capture a new generation of consumers. A recliner runway highlighting our most foundational product in a new and innovative way is surrounded by lifestyle rooms, from gamer to heritage. Included in our learning agenda we'll gain deep consumer insights that will inform next steps to use in updating our approach in our existing footprint, as well as inform experiments with entirely new concepts. Joybird is another core pillar of our Century Vision. Where we're optimizing the brand to deliver a balance of sales growth and profitability. Joybird had a strong quarter with positive delivered and written sales trends and operating performance improving against the prior year. And resulting in breakeven profit. The digitally native brand is benefiting from strong execution in its retail footprint as it delivers a seamless omni-channel experience and enables consumers to bring their own personalized styles to life. I'm excited to highlight Joybird's most recent collaboration the Joybird Pantone collection, a first of its kind furniture collaboration Joybird had the honor of being the first and exclusive furniture partner for Pantone's Color of the Year 2025 release. The collection features Joybird's top-selling performance fabric, Royale, and stars the Pantone color of the year. 2025 MoCA mousse in more than 300 silhouettes. The collaboration leverages Pantone's color authority and decades-long expertise while showcasing Joybird's color-centric brand focus. Strengthening our foundational capabilities, including building a more agile supply chain, is our final pillar of Century Vision. In this challenging global landscape, we view our North America footprint. With the majority of final assembly in the United States, as a key differentiator in our ability to manufacture comfortable custom furniture with quick speed to market. We're driving gross margin expansion in our core business as we improve efficiencies in our supply chain. We're also expanding our assortment of on-trend merchandise in our main upholstery categories, particularly reclining in motion. And notably, we're pleased during the quarter to be named Newsweek's 2025 on Newsweek's 2025 list of America's responsible companies recognizing our commitment to responsible manufacturing operations and business practices. This award based on quantitative data gathered from independent surveys, highlights our commitment to doing what is right for our business and all stakeholders. As we enter the final quarter of our fiscal year, we continue to expect a choppy macro environment. Overall housing fundamentals and housing affordability remain challenging. And we also continue to monitor and plan against the evolving global tariff and trade environment. However, the structural housing shortage and pent-up demand in the category remain key opportunities we look to the future. And in the meantime, we remain optimistic about our ability to continue to outperform the market while investing in our business, through our Century Vision strategy. Now let me turn the call over to Taylor to review the financial results in more detail. Taylor?
Taylor Luebke: Thank you, Melinda, and good morning, everyone. As a reminder, we present our results on both a GAAP and non-GAAP basis. We believe the non-GAAP presentation better reflects underlying operating trends and performance business. Non-GAAP results exclude items which are detailed in our press release and in the tables in the appendix section of our conference call slides. On a consolidated basis, fiscal 2025 third quarter sales grew 4% to $522 million versus the prior year, driven by strong same-store sales, acquisitions and new stores in our retail business, momentum in our core North America La-Z-Boy wholesale brand, and strong sales in our Joybird business. Consolidated GAAP operating income was $35 million, and non-GAAP operating income was $35 million, an increase of 7% versus last year's third quarter. Consolidated GAAP operating margin was 6.7% and non-GAAP operating margin was 6.8% reflecting a 20 basis point increase versus last year. Driven by lower input costs, including reduced commodity prices and improved sourcing, partially offset by the impact of the significant customer transition in our international wholesale business. GAAP diluted EPS was $0.68 for the third quarter, versus $0.66 in the prior year quarter. Non-GAAP diluted EPS was $0.68 versus $0.67 last year. As I move to the segment discussion, my comments from here will focus on our non-GAAP reporting unless specifically stated otherwise. Starting with the Retail segment for the quarter, delivered sales were $228 million up 11% over the prior year's third quarter, due to foundational same-store sales growth, independent La-Z-Boy furniture galleries acquisitions, and new stores. 7% written same-store sales growth was driven by solid conversion rates average ticket design sales all of which once again improved year over year. Retail non-GAAP operating margin was 10.7% versus 10.9% holding relatively stable as we absorb the increased selling expenses and fixed costs supporting our long-term strategy of growing our retail business. For our wholesale segment, delivered sales for the quarter increased 2%, to $363 million driven by our core North America La-Z-Boy brand, through favorable shift in product and channel mix as a result of higher sales to our La-Z-Boy furniture galleries. Partially offset the customer transition in our international business. Non-GAAP operating margin for the wholesale segment was 6.5% versus 6.4% in last year's third quarter, increasing 10 basis points year over year driven by gross margin expansion, including lower input costs and favorable foreign exchange, and margin expansion in our core North American La-Z-Boy branded wholesale business. This progress was again partially offset by significant deleverage in our international wholesale business. Recall, we are working through a significant customer transition in our UK business as we move to a new strategic partnership with DFS, the leading UK furniture retailer. Our strategic partnership with DFS will benefit our UK business and grow the La-Z-Boy brand, but it will take time to fully complete the transition as we optimize our merchandising and go-to-market approach in the midst of a highly challenged UK consumer demand environment. For Joybird reported in corporate and other, delivered sales grew to $37 million up 9% versus the prior year quarter driven by improved retail traffic and execution across the business. Joybird operating margin performance also saw year over year improvement from higher gross margins driven by favorable product mix and SG and A leverage on higher sales. This resulted in breakeven operating profit for the quarter, as this business achieved foundational stability from which to grow. Moving on to our consolidated non-GAAP gross margin and SG and A performance for fiscal 2025 third quarter. Consolidated non-GAAP gross margin increased 160 basis points versus the prior year third quarter. Gross margin expansion was driven by the positive shift in consolidated mix towards our retail segment, which has a higher gross margin rate our wholesale segment. Along with lower input costs and favorable foreign exchange. Non-GAAP SG and A as a percent of sales for the quarter increased by 140 basis points. Compared with the same period last year. Primarily due to changes in consolidated mix to our retail segment, which carries a higher fixed cost structure relative to wholesale. And reduced leverage in our wholesale segment due to lower sales in our international business. Our effective tax rate on a GAAP basis for the third quarter 25.1% compared to 20.2% for the prior year. The increase in our effective tax rate was primarily the result of favorable return to provision adjustments impacting the prior year. Absent these discrete items, the effective tax rate would have been 25.6% for the prior year third quarter. Turning to cash, we ended the quarter once again with a strong balance sheet $315 million cash and no externally funded debt. We generated $57 million in cash from operating activities in the quarter, an 18% increase versus last year. Year to date, cash flow from operations was $125 million up 19% from last year's comparable period. We invested $19 million in capital expenditures during the quarter primarily related to La-Z-Boy Furniture Galleries, driven by new stores and remodels. We also spent $7 million on acquisitions during the period. For the quarter, we returned approximately $20 million to shareholders via dividends and share repurchases. Including $9 million paid in dividends. Additionally, we repurchased 271,000 shares in the quarter, which leaves 4 million shares available under our existing share repurchase authorization. Year to date, $90 million has been returned to shareholders, up approximately 40% versus the prior year comparable period. We continue to view share repurchases in our dividend as an attractive use of our cash and positive return to shareholders. Our capital allocation target is to reinvest 50% of operating cash flow back into the business and return 50% to shareholders in share repurchases and dividends over the long term. Before turning the call back to Melinda, let me highlight several important items for the remainder of our fiscal 2025 fourth quarter. Consistent with our Century Vision strategy, we continue to target sales growth double the industry growth rate, and double-digit operating margins over the long term with the benefit of more normalized industry performance. Assuming no significant changes in tariffs, we expect fourth quarter delivered sales in the range of $545 million. Further, we expect fourth quarter non-GAAP operating margin to be in the range of 8.5% to 9.5%. Recall, significant winter weather events in January last year resulted in some shifting of delivered sales from Q3 to Q4 in last year's results. Accounting for this shift in base period results, and at the midpoint of our fourth quarter range, we expect to grow 2% in the second half of our fiscal year. On the external front, the current situation on tariffs and global trade policies is dynamic. And we have plans ready for a range of scenarios that leverage the strength and agility of our supply chain as well as potential pricing actions. Across the network, we will open five to seven new La-Z-Boy Furniture Gallery stores in the fourth quarter, depending on final permit timing. This will bring new store openings for the year to 14 to 16 of which the majority are company-owned. We expect our tax rate for the full fiscal year to be in the range of 25.5% to 26.5%. We anticipate non-GAAP adjustments for purchase accounting charges for the year, be in the range of $0.01 to $0.03 per share. We expect capital expenditures to be in the range of $70 to $80 million for fiscal 2025, as we invest to strengthen the company for the future consistent with our Century Vision strategy. And finally, presuming no significant worsening in macroeconomic trends, we expect to continue share repurchases at dollar levels consistent with pre-COVID levels. I will now turn the call back to Melinda.
Melinda Whittington: Thanks, Taylor. I'm excited about the momentum that is building across our enterprise. Our strong execution even despite a still challenging industry backdrop is leading to both sales growth and margin expansion. We are thoughtfully and efficiently controlling what we can control. And we'll continue to drive our Century Vision strategy with focus on expanding our La-Z-Boy brand reach disproportionately growing our company-owned retail segment, improving agility across our supply chain, and driving efficiency and margin expansion. Before we close our prepared remarks, I'd like to note La-Z-Boy Incorporated has been named to Forbes list of America's best large employers for 2025. This is a remarkable achievement and our first time ranking among this distinguished list. Which is determined using a collection of independent survey data. And finally, I'd like to congratulate and thank our entire team for yet another quarter of outstanding results. With that, I'll turn it back to Mark. Thank you, Melinda.
Mark Becks: We will now begin the question and answer portion. Jenny, please review the instructions for getting into the queue to ask questions.
Operator: Thank you very much. If you would like to ask a question, before you press the keys. Your first question is coming from Brad Thomas of KeyBanc Capital. Brad, your line is live.
Taylor Zick: Hey. Good morning, everyone. This is Taylor Zick calling for Brad this morning. Congrats on a good quarter. Just curious, Melinda, if you can speak a little bit more to cadence and the trends cadence of trends throughout the quarter. I know you spoke positive months throughout the quarter with No. No. Barbara being strong, but I think Taylor had mentioned January had a little bit of a shift. So is there any additional color you can provide? And then related to that, any thoughts on what you're seeing so far in this fourth quarter?
Melinda Whittington: Yeah. Morning. So a couple of thoughts. We certainly, you know, we've been talking for a while about the consumer is coming out more around those peak holidays, those key holidays that we've always seen, but even more so here in this kind of malaise industry. So our strength during the quarter was strongest during the holiday period. But overall, year on year strength across all three months of our quarter. As far as February is concerned, I mean, we're still super early in our quarter. Super early in the month, and really still just seeing Presidents' Day results starting to come in from across all of our businesses. You know, overall, again, pleased with execution, feel comfortable with what we're doing there. We didn't see traffic as robust this Presidents' Day across the industry as what we've seen on some of the other recent holidays. But still way too early to tell kind of is that just weather related. You know, last year, the end of January was bad. This year, it's early February. It seems to be bad across more of the states. So, you know, time will tell. It continues to be a choppy environment.
Taylor Luebke: And on the phasing question, I would just point Melinda, it references more to the written trends that more impacted our ability to deliver product as winter weather last year shut down some of our plants. Complicated being able to deliver. Imprecise calculation exactly what shifted, which is why we look at our total back half of the year, which we're really proud you know, to outlook, you know, about a 2% growth year over year across the period.
Taylor Zick: Gotcha. Thank you. And then maybe if I could just touch on margins, Taylor. Is there any more color you can provide on some of the puts and takes for the 8.5% to 9.5% operating margin you're going to for this fourth quarter. I guess what would get you to the low end and high end and anything to keep in mind. Yeah. I'd start with a couple of points. One is where
Taylor Luebke: incredibly pleased that sustainability of margin progression on our core North America La-Z-Boy wholesale business, which is the one part of the business that was most thrown into, call it, volatility through the pandemic and out of it. And we've seen really good margin expansion now three consecutive quarters. Also, very pleased with where Joybird's at, which you know, this time last year, losing money to now breakeven, which is a good foundation for future growth. And on retail, it's kinda where we want it to be as we, you know, deal with the general malaise in this broader industry, but we're controlling what we can control and standing up new furniture galleries as well as completing independent acquisitions. So those are all positives. Looking into quarter four, you know, And then on the opposite, we have challenges on our international business that's talked in their prepared remarks, which have, you know, from a wholesale segment, you know, a 50 basis point impact on that business. And it will improve over time, but it's gonna take some time to grow our partnership with DFS. So, you know, kinda what we saw in quarter three, we expect to transition to quarter four. And positively looking forward, you know, we're standing up a lot of new stores. We still have three this quarter, three last quarter. I'll look at five to seven in quarter four. Those have a little bit of short-term impacts, but exactly what it's exactly what we said we would do. And then over time into next year, we'll start to see those margins benefit the total segment.
Taylor Zick: Gotcha. Thank you. And then maybe if I could just, sneak one more in here, maybe for Melinda. You know, you've talked about the strategic partnerships. You've had you know, success with Slumberlands, Room To Go, and others. But can you kind of update us on the progress of those partnerships and maybe speak to, you know, the pipeline potentially, you know, rolling out some more strategic partnerships.
Melinda Whittington: Absolutely. Along a couple of lines. Yeah. Those b to b partners are foundational to us and remain important to our focus. Across some of the smaller some of our smaller partners, we continue to invest in what we call our comfort studios, which is branded space within the space, and we have call it 500 plus of those type of spaces and really making sure the branding comes through with those. So that's something that's been, again, foundation that we're not locking right away from, and in fact, we're refreshing We've got quite a few of those in the pipeline to refresh you know, with updated brand materials and everything. But to your point, those bigger regional strategic partnerships What we're seeing in the industry is those that are doing better in this ongoing challenging environment tend to be of the, you know, multi-branded retailers are those call them, you know, a little bit larger regional entities. And what we like them for a couple of reasons. One, you know, we've talked a lot about partnerships like Rooms To Go. Up here in the north, it's Gardner White in the Detroit area. You know, long-time partners, Slumberland, that advertise heavily, and that's great because that reminds the brand that reminds the consumer about our brand regardless of where they choose to shop. So that really increases our share of voice, as well as helps us get our product, select product out to consumers that we might not otherwise capture with our furniture galleries.
Taylor Luebke: I know recently, we've expanded our furniture row partnership. It's
Melinda Whittington: been about two years into the Rooms To Go. And there does continue to be a pipeline out there. But I think equally as important will be just growing with those existing partnerships and really doing more with those strategic ones as you mentioned.
Taylor Zick: Great. Thank you. I'll pass it on.
Operator: Thank you very much.
Taylor Luebke: Thank you.
Operator: And your next question is coming from
Bobby Griffin: Thank you. Good morning, everybody. Appreciate you taking my questions. Congrats on the good momentum during the quarter as well. I guess, the first aspect I want to hit on, we're making some progress in inside the core wholesale segment. So maybe can we talk a little bit about that on the margin front? Some more? Where from an efficiency standpoint, where are we in getting back That business back to the efficient you know, efficiency levels that you kind of are used to in wholesale. And I guess, exclude the international disruption where we can kind of think about it on a core on core basis.
Taylor Luebke: I mean, Bobby, thanks for the question. We're pleased with the progress as mentioned, particularly on our core North America wholesale business. Which has now grown margin. The first three quarters of the year versus the comparable period. So our supply chain from procurement through manufacturing through distribution is making headway across all fronts. So we're really pleased with the progress. End of the day, what really needs to get us back to our longer-term goal is we need volume. Which right now is still depressed from where we used to be, primarily driven by the fundamentals, drive the furniture industry is really a healthy housing market, whether new home starts, existing home sales, which albeit we've seen a little bit of a tick up the last couple of months, is still at decades a decade's low. So we continue to focus on what we can control, which is the improvements and efficiencies that we can drive end of the day, to get over the hump per se, we need some sustained industry growth. To get us there.
Bobby Griffin: And, Taylor, I think you mentioned you're talking to La-Z-Boy brand. What about the non-La-Z-Boy brand and stuff that goes through wholesale? I mean, how is that running today? Is there opportunities there from an efficiency standpoint? And I guess I'm just getting that x the international transition. Are we just basically left with volume and you know, you guys have got the factories back where you want them is what I'm trying to kinda get at.
Taylor Luebke: I would say the general theme on volume is consistent across our entire wholesale segment. I mean, whether it's La-Z-Boy, wholesale, whether it's our England division, whether it's our case goods, it's all impacted by the general industry health. But certainly, we continue to drive ongoing efficiency and improvement on our wholesale business. Again, you saw it this quarter even at the, you know, even at challenged volume levels. Our team in the supply chain is doing two things. They're creating an agility and building an agility for this macro environment that is unlike anything we've had in the past, while still making progress towards, you know, getting back to the kind of margins that we touched on just before the pandemic. So to your point, Bobby, yes, there is still headroom. Volume helps a lot. But meanwhile, every quarter, particularly in that core business, we are seeing progress.
Bobby Griffin: Okay. And then when you think about the international transition taking place there and some of that disruption, Are we past kind of the peak in that disruption? And then I guess I'm getting at, is that become an incremental tailwind, a little bit less of a headwind in FY26 or is there should we assume that that headwind continues for FY26 against the wholesale margin.
Melinda Whittington: I would expect you'll see incremental improvement, but it'll be slow. It'll be slow and steady.
Taylor Luebke: I mean, you've taken our largest customer globally and completely changed them out. So I actually just met with that team at Vegas Market a few weeks ago. They're super happy with where the partnership is, but it's a brand new ground-up partnership, so it's gonna take some time.
Taylor Luebke: And in the meantime, we're not just waiting for it to organically improve. We're driving both that top to top on, call it, commercial levers growth partnership, but we also can action efficiencies across our international organization, including rightsizing our manufacturing capacity, to help, you know, improve those results sequentially looking forward.
Bobby Griffin: Perfect. And then maybe just on the guidance, unpacking it a little further, You know, again, when you look at the midpoint, price roughly flat year over year, you guys just throughout the prior three quarters have grown on a year over year basis. Is that only just the function of the shift Faye, that you talked about? Or did you see kinda something that in the quarter that gives you a little bit more caution than maybe what we were seeing earlier in the quarter. Some of our checks, I guess, have indicated you know, some strength in November, but then a slowdown, you know, to kinda start our kind of as we moved into twenty-five,
Taylor Luebke: Yeah, Bobby. I would answer it in a couple of ways. One is the international we just talked through. We'll have a, again, a shorter-term impact. Quarter four, So that doesn't just alleviate within the next quarter Two, as mentioned, we have plans to stand up five to seven Again, new La-Z-Boy Furniture Gallery stores that has a moment in time call at profit impact. We start to ramp those up and that's on top of six we stood up in quarter three and quarter two. So we have that shorter-term impact on our retail business, which is fine, which is exactly what we said we were gonna do and what we want to do. So those, I think, are the primarily two impacts to the ranges as outlook in the weather shifting again, not as Precise does have some level of impact. As regards to exiting the quarter, know, we saw a strong November as talked in the written remarks, you know, again, more positive balance of the quarter, but as we look forward, we expect the consumer to still be choppy. The fundamentals underneath again, the furniture industry, primarily housing, are still, you know, kinda status quo to where we've been. So all of that together, you know, it affects the guidance range we put up. Perfect. And I guess last thing for me, Joy Bird, nice bright spot in the quarter as well, you know, return to breakeven and it's a nice growth. I think in the very remarks, it mentioned foundation for future growth. So maybe you could unpack that a little bit and what you see from the Joybird brand and you know, is there any update or different view on what the potential is, you know, on a multiyear basis for that brand?
Melinda Whittington: Sure. You know, we as you recall, you know, Joy Bird was on a really nice growth trajectory in the middle of the pandemic, and, you know, along with many many, you know, primarily ecom, digital kind of businesses. We pulled back when a lot of them went out of business. We pulled back to really get the fundamentals right on that business. And I feel like we're there. And that is that's not just on the, like, sort of the mat the financial fundamentals, but it's on the execution of who we are as a brand and how are we gonna bring that to life. And we need to keep in mind how where Joybird's Fifth. To sort of our capabilities as an enterprise is that because of this same North America base footprint, Joybird can offer customization and enable the consumer to really express themselves and enjoy brand stands for that expressive, you know, color color forward, if you will, kind of customized furniture. So I feel good about knowing what the brand stands for as well as the financial discipline you know, as we move forward. So with that, you know, we talked several years ago about seeing a near-term footprint or at least a medium-term footprint to 25 stores. We got to 12 when we paused that. We've turned that funnel back on. Now that takes a little bit of time to start up, but I would see us at a pace of call it three to four stores next year for Joybird. And then, you know, we'll continue we're gonna be we're gonna be cautious because the environment is still challenged. But we feel like the fundamentals are there and we're ready to start investing back into seeing Joybird grow while still keeping a close eye on making progress on that bottom line.
Bobby Griffin: Thank you. I appreciate the details, and best of luck here wrapping up the year.
Melinda Whittington: Thank you. Thank you.
Operator: Thank you very much. Just a reminder, if there are any remaining questions Your next question is coming from Anthony Lebiedzinski of Sidoti and Company. Anthony, your line is live.
Anthony Lebiedzinski: Questions. And, you know, certainly nice to see the trends in the written sales being up. Just curious, did you guys see any notable differences in terms of your different markets or regions? Anything to call out there as far as the third quarter trends?
Melinda Whittington: Nothing that nothing that really stands out dramatically. Of course, you know, again, at any given time, there's what other weather event or whatever, but nothing dramatic. Cross markets.
Anthony Lebiedzinski: Gotcha. Okay. Thanks, Melinda. And then, you know, in the retail segment, your operating margin was down slightly given increased selling expenses and fixed cost. The Okay. Is that primarily advertising, or can you share more details and how should we think about these expenses going forward?
Taylor Luebke: Yeah. Anthony, it's really, you know, a couple of things. It's, you know, the pace of new stores that we've stood up, both in the quarter as well as quarter two. So six stores over a very short period of time. Again, those don't start at a going level. It takes time to ramp up. As well as, you know, over quarter three is one of our bigger written periods around the holidays. So we have more commissions that hit us in the quarter. So I think those are the two primary drivers for retail.
Anthony Lebiedzinski: Alright. Thanks, Taylor. And then far as, you know, thinking about the potential impact of tariffs, obviously, your guidance, as you said, excludes any tariff impact. Obviously, it needs to be a dynamic situation, but can you provide any sort of more details as far as how you're thinking about that if there are tariffs on Canada and Mexico and elsewhere? Where, you know, any additional things you can highlight as to how you're thinking about that.
Taylor Luebke: Yeah, Anthony. So on the Terra front, our hope is it's just noise we think at the end of the day, it's gonna more challenge a consumer who's been challenged now for a while. We like a healthy consumer. But with that being said, you know, since November, we've been planning on a wide range of scenarios, whether Mexico, Canada, or other markets. So we've developed a playbook to respond to whatever could happen, which will, again, leverage our global supply chain from sourcing through where we manufacture as well as potential pricing actions to ensure we're mitigating whatever could be put into place. So we're planning for all eventualities and we're acting on only on what's fact. Today, there's not much of that. And what has gone into place, we've taken to ensure we're mitigating the impact.
Anthony Lebiedzinski: Got it. Alright. Well, thank you very much, and best of luck.
Melinda Whittington: Thanks, Anthony. Thanks, Anthony.
Operator: Thank you very much. Well, we appear to have reached the end of our question the back over to the management team for any closing remarks.
Mark Becks: Thanks everyone for joining us. Melinda, Taylor, and I will be in our offices to take any follow-up calls. Thanks, and have a great day.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.